Operator: Greetings and welcome to the Columbus McKinnon Corporation First Quarter Fiscal Year 2017 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d now like to turn the conference over to Ms. Deborah Pawlowski, Investor Relations for Columbus McKinnon. Thank you, Ms. Pawlowski, you may begin.
Deborah Pawlowski: Thank you, Manny and good morning everyone. We certainly appreciate your time today and your interest in Columbus McKinnon. And we are going to be reviewing our first quarter fiscal year 2017 financial results and discuss our outlook for the year. Then we'll open up the line for question-and-answer. On the call today are Tim Tevens, our President & CEO; and Greg Rustowicz, our Chief Financial Officer. You should have a copy of the financial results that were released earlier this morning at 8 O’clock. And if not, you can access those as well as the slides that we will have accompanying today's conversation at cmworks.com. If you turn to Page 2 of our slides, I will discuss the Safe Harbor statement. As you're aware, we may make some forward-looking statements during the formal discussions, as well as during the Q&A session. These statements imply future events, which are subject to risks and uncertainties, as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in the earnings release as well as in other documents filed with the Securities and Exchange Commission. These documents can be found on our Web site or at sec.gov. During today's call, we will also discuss some non-GAAP financial measures. We believe these will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We've provided reconciliation of non-GAAP to comparable GAAP measures in the tables that accompanies today's earnings release and slides. I also want to mention that Tim is joining the call remotely. We don't anticipate any issues as a result of this. However, if anything does come up and we lose Tim's connection, we'll get that resolved quite quickly. And so with that, I’ll turn the call over to you Tim.
Tim Tevens: Thanks, Deb, can you hear me okay?
Deborah Pawlowski: Yes you are fine.
Tim Tevens: Great, let me start on Page 3, we want to remind you of our long-term objectives which include growing to be $1 billion business with about a third of our revenue in developing markets and two-thirds in developed markets, along with $200 million to $300 million of acquisitions and a steady stream of new products generating a 12% to 14% operating margin and strong working capital level within overall very strong balance sheet. Let me dive into the highlights of the first quarter before I turn it over to Greg. The highlights of our fiscal '17 first quarter on H4, indicates that our revenue was up 10.4% excluding the negative effects of currency translation of 1.4 billion, which was driven by the Magnetek acquisition. Sales in the U.S. were up 15.1% to 93.9 million and the Magnetek acquisition more than offset the lower volumes. The negative effects of the oil and gas downturn and related supporting industries continued to have a negative effect on our volume. Sales outside the U.S. were up 3.6% excluding unfavorable FX impact of 1.5 million to 55.1 million. We are very pleased with the Magnetek integration activities as we're integrating the Magnetek control technology into our leading power hoist brand, as well as moving forward with our smart hoist and lifting system technology. This technology allows for hoist activity monitoring to increase productivity and safety of our customers’ operations. Our gross margin increased to 32.2% and cash from operations more than doubled to 7.2 million as compared to last year. As we have previously described our priority now is to repay debt and we have repaid $16.8 million in the quarter, bringing our total debt to capitalization to 46.3 and net debt to total cap to 41.7. It appears as if the U.S. end markets are stabilizing as the U.S. industrial capacity utilization is hovering in the 75% area and this has been for the last six months or so. This stabilization should steady our bookings and therefore our revenue in the next one to two quarters. Let me remind you that we typically lag this indicators so it takes a while for us to see the effects of it. As mentioned in our Q1 revenues, our Q1 revenues were up 10.4% excluding the negative effects of currency translation as shown on Page 6. The increase is driven by the Magnetek acquisition as I mentioned and more than offset any volume decline in the quarter. We did recognize some pricing increase in the quarter as well. Volume was down as a result of lower industrial activity in key sectors of the economy such as oil and gas, heavy manufacturing, mining and all of the supporting industries to those sectors. We are indeed growing market share in the U.S. as we focus entirely on our customers’ needs and leveraging our strong channel partner relationships. We are in the process of launching Compass our digital platform that allows our customers to design, specify, quote and order a lifting system all online. This eliminates many hours of engineering work and our customers, our channel partners and our business and allows our customers a 24/7 access to help them drive their business improvements and expansions. We also introduced a new wire rope hoist line, the Yale LodeKing LT which utilizes the Magnetek controls and provides for an industry-leading low headroom. The market has taken to this new powered hoist and which has capacities up to 25 tons and sales are exceeding our expectations. In the near-term however, we do remain cautious as the industrial markets although appear to be stabilizing can and probably will be very volatile. Let me turn it over to Greg so he can review some of those more financial details. Greg?
Greg Rustowicz: Thank you, Tim. Good morning everyone. On Slide 7, our first quarter gross profit grew by 4.5 million or 10.2%. The Magnetek acquisition contributed 8.4 million of gross profit. Productivity net of our cost changes was also quite strong in the quarter contributing 1.4 million to gross profit, as we benefitted from our lean program and restructuring actions taken the past year with the facility consolidation in Germany. Higher product line building cost was the result of $1 million legal settlement in the quarter. The impact of lower volumes negatively impacted gross margin by $4.6 million. Foreign currency translation negatively impacted gross margin by $500,000. On a GAAP basis gross margin was 32.2% which compared to 32% in the prior year period. Adjusted gross margin was 32.2% compared to 32.4% in the previous year. The prior year adjusted gross margin was adjusted for purchase accounting inventory step up expense and European facility consolidation cost which together totaled $600,000. The reconciliation for adjusted gross profit and margin is included on Page 17 of this presentation. As shown on Slide 8, selling expense was higher than the prior year by $2.2 million and represented 12.6% of sales this quarter compared to 12.2% in the prior year. The Magnetek acquisition added $3.1 million to selling expense in the quarter. Our base business selling expense costs were actually lower by $700,000. Favorable foreign currency translation lowered selling cost by $200,000. G&A expense increased $1.2 million from the prior year and represented 10.9% of sales this quarter down from 11.1% in the prior year period. The Magnetek acquisition added $1.5 million to G&A expense in the quarter. Our base business G&A expense was slightly down compared to the previous year. Favorable foreign currency translation reduced G&A expense by $100,000. We expect our SG&A run rate to be $35 million to $36 million per quarter in fiscal 2017. Turning to Slide 9, income from operations was 11.2 million or 7.5% of sales. Adjusted operating income was $11.4 million compared to 12 million in the prior year. This represents a decrease of 500,000 or 4.3%. We have adjusted operating income this quarter for the Canadian pension lump sum settlement cost in the amount of $200,000 related to the previously announced warehouse consolidation. Adjusted operating margin was 7.7% compared to 8.8% in the prior year. This reconciliation can be found on Page 18 of this presentation. As you can see on Slide 10, adjusted earnings per diluted share for the first quarter of fiscal 2017 were $0.34 per share compared to $0.38 per share in the previous year, a decrease of $0.04 per share or 10.5%. Adjusted earnings per share reflect the exclusion of the cost associated with the Canadian pension lump sum settlement cost as well as the normalized 30% tax rate. GAAP earnings per diluted share were $0.32 per diluted share versus $0.34 per diluted share in the prior year period. The actual tax rate in the current quarter was 32.5% which compared to 33.9% in the prior year period. The effective tax rate for fiscal 2017 is expected to fall between 30% and 32%. Turning the Slide 11, excluding the impact of acquisitions owned for less than one year, our working capital as a percent of sales was 22.4% compared to 21.9% at June 30, 2015 and 21.5% at March 31, 2016. Working capital as a percent of sales increased 90 basis points sequentially from last quarter reflecting typical timing fluctuations and higher inventory levels due to the growth in project backlog. Inventory turns were 3.4 turns compared to 3.6 turns as of March 31st and are expected to improve in fiscal 2017 which will add to our cash generation capabilities. On Slide 12, cash from operations in the first quarter was especially strong coming in at $7.2 million compared to 3.2 million in the prior year. We're benefiting from the cash generation capability of Magnetek as well as lower cash taxes from the utilization of the NOLs we acquired. We are tracking towards the previously given guidance that capital expenditures will be approximately 80 million in fiscal 2017. Turning the Slide 13, you can see that our total debt was $250.5 million and our net debt was 207.3 million as of June 30, 2016. Our net debt to net total capitalization was 41.7% as of June 30th. We repaid a total of 16.8 million of debt in the quarter ahead of our target of 43 million. We've repaid almost 54 million of debt utilized to acquire Magnetek. Our focus continues to be on deleveraging the balance sheet quickly. With that, I will turn it back over to Tim to cover the fiscal 2017 outlook.
Tim Tevens: Thanks, Greg. So let’s take a moment and look at the outlook on Page 14. As we look to the near-term future, we see some good news, some bad news for our future business. The end markets appear to be stabilizing as the past utilization is leveling and oil and gas activity appears to be at the bottom of at least a year long slide. In this difficult market environment, we continue to be aggressive and launch new products, drive the Magnetek control systems into Columbus McKinnon hoist, service our customers well and take market share. We see China in a slower growth mode but certainly the rest of Asia and Latin America are still weak. Europe will be negatively impacted in the short-term as they wrestle with the uncertainties of Brexit and other geopolitical events. Our backlog is up nicely to 102.4 million as a result of some nice orders we booked by Magnetek in our rail and road business in Germany. We continue to improve our gross profit even in a lower volume environment. Unfortunately our orders in the quarter overall were also down about 10%. Germany and South Africa seemed to be stable but other countries in EMEA are weak. North America remains challenged with orders down 10% year-over-year mostly driven by the depressed industrial environment led by the oil and gas downturn which started for us by the way in Q2 of last year. Emerging markets generally remain weak down 15% year-over-year. We will continue to make strategic investments in a very prudent way in our business to win market share. New product launches, investments in digital platforms such as Compass and driving the smart technology by our Magnetek integration are good examples of these investments. This will position us well for a recovery for later in the year. Our Columbus McKinnon Lean Business system continues to do well as you can see from our gross margins and improve our operations and help overall. And with that let me see if I can open it up to questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] And our first question comes from Robert Majek of CJS Securities. Please go ahead.
Robert Majek: It looks like Magnetek sales were down about 16% year-over-year. I know that's partially due to the loss of sales to Columbus McKinnon if you take that out I'm wondering what the apples-to-apples comparison is there and any clarity of what's that due to?
Tim Tevens: The revenue for Magnetek in the quarter was definitely lower than the prior year. It was down about $4 million and most of it was driven by the lack of large industrial projects that they saw last year that aren't being booked this year. So, overall I think the quotation activity is actually up but there is a hesitancy on the part of the marketplace, they actually turned those quotes into active projects and get them launched. That's the number one thing we're seeing right now.
Robert Majek: And given the North American recount increased about 14% or so in the past few months and 7% or so in July I was just wondering how well that might translate to your core hoist business in the near-term?
Tim Tevens: We definitely think that it seems to be more activity in this area mostly for our rigging equipment that usually goes on the various drill rigs, some manual hoists which would consider rig equipment as well. And they seem to be doing better okay in fact, we are also think we're taking market shares from some competitors in this area too. I still think year-over-year though Robert we're down in this environment still but not down as much as we've seen in the prior year.
Operator: Thank you. The next question is from Mike Shlisky of Seaport Global. Please go ahead.
Mike Shlisky: First I wanted to ask about Magnetek’s gross margins. It looks like they were about 35% in the quarter if I am looking at this correctly and maybe even 15% operating margin. Is that a good run rate based on what you know today and is that in line with kind of what your expectations were for the Company when you bought them and when the current fiscal year started?
Tim Tevens: Yes when we looked at the acquisition last summer, we certainly expected the gross margins to be in the mid-30 area without question and we did expect once we executed all of our cost reduction, the short-term things that we talked about the $5 million run rate, Mike, that we talked about cost being reduced out of Magnetek that is certainly the mid-to-high double digit kind of operating margins were certainly possible. The one thing that obviously hits them as well is the amortization expense that comes through, so that kind of pulls back some of that operating margin as well and it's a meaning number. Greg will give you the exact number in a moment.
Greg Rustowicz: Yes so, Mike, can you hear me?
Mike Shlisky: Yes sir.
Greg Rustowicz: Okay so Magnetek’s based on the press release, you can easily do the math that our gross margins were just south of 35% and we gave you enough information on the cap rate operating margins which were just under 11%.
Mike Shlisky: 11%, okay.
Greg Rustowicz: Yes, because I think you're missing the amortization, the piece of the amortization in that calculation.
Mike Shlisky: Got you.
Greg Rustowicz: But if you go to and last June they did publish standalone financials and you can see the significant reduction in G&A expense which was a result of the cost synergies, so G&A expense for Magnetek is down $2.5 million in the quarter from a year ago when it were a standalone company.
Mike Shlisky: Got it, got it, okay.
Greg Rustowicz: So I think taking our top-line growth in Magnetek, they would absorbed a little bit more of the fixed cost they would be back to their more normal 36%-37% gross margin.
Mike Shlisky: Got it okay and I also wanted to ask about the M&A environment, I know just done a pretty nice side of deals just last few quarters here but there were some talks in the headlines about a potential crane company and you're kind of in your wheelhouse and I think for sales given some of the M&A transactions of other companies out there. Why don't you kind of comment on how you feel that environment is today, not describing that one company but just broadly speaking are there anything of target that you are pursuing and how do you feel about the valuations of the current time?
Tim Tevens: So as you know our incentives to generate free cash flow payback or debt short-term here, if you look at the rate at which we're paying down debt, we'll be positioned very shortly here to be able to do another acquisition. And so there is a fair amount of work by the team, looking at targets, evaluating them, understanding how we can strategically align together to create more value as one company rather than two individual companies. And there is a number of targets that that we're looking at in the hoist industry, but also in the radio control business and in various geographies around the world. So there is a conduire of them that we continue to evaluate. There is the potential for some spinoff I think we've talked in the past Mike of the Terex D-Mart business coming together with Konecranes. There is some definitely some antitrust issues most likely coming out of the European Union potentially the United States don’t know of any answer just jet. But there are some assets that we would definitely take a look at and better understand how we could benefit as a result of any of those spins that might occur.
Greg Rustowicz: Hi Tim let me add on as well that we completed a very small acquisition here a week ago for less than $1.2 million where we bought assets of a company called Robomatic to help us with lethosys and articulating arms and truck tubes for our unified business. So, very small deal one we thought was necessary and was available at the time and so we did complete that in July.
Tim Tevens: And given the size of that Greg I think it's a very small company as you say, the profits are very strong, the EBITDA multiple we pay for that Mike was under two but that is not the norm of course, as you might imagine. Industrial companies today are seemingly going for 6/8 times, 9 times depending on how much strategic value there might be.
Mike Shlisky: Okay, got it, I just wanted to just ask about your commentary around rail and road projects and you -- it looks like it has had some great wins there. Well that is the outlook for the rail business, some suppliers have sort of seemed to be a little bit more cautious on rail as far as the vinyl parts that are out there, if you are going into calendar 2017 then it may have been in the past, certainly roads seemed strong on the highway build but just kind of your thoughts as far as rail going into the next calendar year if possible?
Tim Tevens: So, our business would be significantly different than what you might see in the U.S. in terms of the rail belt churn and the lack of rail cars being built and what not. The business that we have is our series of actuators that lift high speed rail cars around the world by the way it is a global business, where there is high speed rail which is not America by the way and the lift -- not yet -- but it lifts the train off the bogies of the wheel bogies so that the wheels can be removed and maintained and they have to be inspected and maintained very regularly like every six months. So, this is a maintenance application where we actually lift 100 meter train plus or minus 1 millimeter through the length of that train as you might imagine it weighs 100s of tons and this business seems to be pretty good for us around the world and our team is assuming to have some very good success in the quotation activity but more importantly winning those quotes and turning them into orders so we remain bullish on that kind of rail, not domestic rail that you might be seeing down turning today.
Greg Rustowicz: And maybe just to give some color, Mike on that it's…
Mike Shlisky: Sure Greg.
Greg Rustowicz: The projects that we book can range from a couple of $100,000 to $300 million and some of these projects I mean looking at the schedule, one very large one, multimillion dollar project is actually a fiscal '19 project that’s already on the book so, we feel really good about fiscal '18s rail road business where in essence the plant is booked I would say at this point for fiscal '18 so we continue to win good projects.
Mike Shlisky: Okay. If I can squeeze in one last one here and it's a very broad question but you had mentioned that a lot of the broader accounting shares like -- have utilization to kind of stabilizing right now, I mean the charts certainly back that up. If we were to see some increases either month-over-month or year-over-year let's say here in late summer. Is this going to be a quarter or two of an even three before you are actually set to see your revenues start to trend better, that has been the pattern in the past and so is the idea that if things get better you might not be so challenged in ’17 or perhaps your fiscal ’18 where you start to really see the volumes coming up?
Tim Tevens: Yes, that's been our traditional past. I will tell you though having lift through several economic cycles in my life with Columbus McKinnon, I do know that sometimes it's actually quicker when it's a downturn and there is lots of activity, not very much activity in the industrial landscape and then all of a sudden we see businesses have an uptick in activity and they need to add capacity or add maintenance equipment that they haven't done that they have held back on for many years. It could be quicker. I've seen that happen in 2001 the bad recession. I've also seen it happen coming out of the ’07-’08 recession where things seem to be not one to two quarters delayed but more immediate. That's not a prediction by any stretch, but I will tell you that we're seeing behavior of our channel partners and customers behave as if we are in a recession. I'll give you one example Mike where we had a nice order with one of our good end customers have been a customer for 50-60 years, that customer decided to reduce the order because they decided to move cranes and hoist around in their facilities and utilize equipment from other facilities where they didn’t need to buy new from us. That's behavior to me that tells me it’s recession like behavior. That's typically what you see in a recession. But I will you tell that as they need as their utilization comes up and they need to add different lines or different expansion of their manufacturing plant, we can see immediate demand from that in this example.
Operator: [Operator Instructions] Our next question is from Joe Mondillo of Sidoti and Company. Please go ahead.
Joe Mondillo: One of your strong areas geographically has been Europe over the last couple of quarters at least, but you mentioned in your prepared remarks that Brexit is potentially or I guess it sounded like that you were definitely assuming that things were going to slow, have you started to see any slowdown and also could you give us more information on that and also how much does the UK make up of your total sales?
Tim Tevens: Okay let me start with that and I will back into what we saw from Brexit, it -- normally the UK for us is about a $20 million business per year. So it's a descent size business, we have a very nice presence in that economy with our hoist and cranes and a variety of lifting equipment. We make clamps there as well. So it's always been good, I will tell you that the weak of the vote, the week after the vote our team there saw a drop in orders of 40%, so it was unimaginable the vote I think from many people's perspective but equally as important it's created a fear, right, and an uncertainly of what's going to happen, how will this work, how will the UK migrate out of the European Union, what is that mean for everybody and the dialogue that we're having with our customers in the region is just all around that. How are we going to get out of this, how will everything transpire? I will tell you that across the European Union continent Germany still is strong for us, they are still reasonably strong doing well, but other economies are not. France is down for us year-over-year and we attributed to just the uncertainty of some of the attacks that have been going on there, it just doesn’t seem like people are focused on what I would reconsider the business right they are focused on other things. And then you have emerging markets seem to be held back as well, worse than we anticipated but I think overall the uncertainty is the cloud that hangs over that whole continent right now as to how this thing will work long-term. I've always believed that Germany will be the engine, it will continue to be the spot where we have great spots but the rest of the continent seems to be under this cloud right now.
Joe Mondillo: So, if you look at your European revenue year-over-year growth and everything, but does it seem to be maybe slowing compared to the last couple of quarters because there has been I think a sort of a high single-digit almost I think around high single-digits type growth that you're seeing there?
Tim Tevens: Yes, you're right it's growing but not as fast. Keep in mind they went through a recession in '13 as well and coming out of the recession you typically get higher growth rates and once you get to the peak -- get back to the peak which we feel we are there put aside Brexit for a moment. And some of the other geopolitical things going on the growth will definitely slow and be more GDP like and that's what we're seeing right now.
Joe Mondillo: In terms of your gross margin obviously with the volume down I think that's a large part of it but you do say volume and mix so I was just wondering in that piece of the deterrent to your gross margins is product mix any bit of an issue in the quarter that you just reported. I also noticed your big project work backlog actually increased sequentially so wasn't sure if you booked some of the big project work but you just didn’t realized it in the quarter so was mix any part of that or was it just largely volume?
Tim Tevens: Let me comment Greg and then I'll ask you to add color if you would. So, yes, most definitely we did book some very nice projects but they're out in the future so they didn't convert to revenue. You typically know as a company that it books this week and ships this week and gets revenue this week so it's a very quick turn. The bookings went off mostly because of these large projects that we were able to book but they won't turn into revenue till the future -- beyond this quarter certainly. That's number one. Number two is, when we see certain product lines especially where we have very good market share like the United States for example especially on our hoist business where the hoist have very good margins for us generally and that volume goes down, it's certainly more painful than if we have a product line that doesn't have as much gross margin and it's volume goes down. So, the U.S. is kind of our main state, it's our home market it's our -- where we have great share and when it's not working and not doing well our margins -- our volume is impacted but equally is or is the -- the margins are directly impacted.
Greg Rustowicz: And so, I'd add some color on the gross margin as well, that legal settlements that we have impacted cost of goods sold and that's worth about 70 basis points of margin so, without that settlement our gross margin would have been 32.9% in the quarter.
Joe Mondillo: Okay.
Greg Rustowicz: In which it still…
Joe Mondillo: Was the sighted in that gross profit table that you put in there I didn’t see it there?
Tim Tevens: Yes Page 7, Page 7 I think.
Joe Mondillo: Okay. In terms of pricing it was a little weaker than I anticipated, is that going to be sort of consistent just given the lack of the softness of demand or are you anticipating any increase on that, I think it was 0.2% contribution to revenue on pricing?
Tim Tevens: Yes, in the environment in particular in the United States as I normally say the Company generates typically 2% to 3% price every quarter in normal economic times. When we do see softness, you don't get as much price as you otherwise would get, so we shrink normally to 1%, 0.5% to 1%. This quarter was particularly weak. I don't have a feel for what the future would be it seems to me that it should bounce back into this 0.5% to 1% area, but we'll just have to see.
Joe Mondillo: Okay. And regarding to the material cost, it seems that was a very small deterrent to gross margins but that's actually been a benefit over the year and obviously with steel prices rising and other commodity prices rising. It's not really surprising but do you anticipate that being a bigger headwind as we go through the rest of fiscal year?
Tim Tevens: We typically have longer term contract in place that allow us to pull those prices or at least mitigate some of the price increases. I do believe that we'll begin to see some level of inflation, it has to come right. Joe, it's been I don't know how many years where we haven't seen it, it's got to come and the one thing that I will tell you is that our history has been is that we always recoup it through price increases. So our goal is to remain margin neutral through any kind of volatility on the input cost side.
Joe Mondillo: Okay. And then just lastly in terms of I was just wondering in terms of your working capital primarily I guess inventory, how are you thinking about working capital for the year, is that going to be a source of cash or is that going to be a use of cash? And then in terms of the amount of debt pay down that you paid in the first quarter, is that something to think about on a run rate for the year that would easily surpass the goal as you mentioned that you're going to surpass your initial goal, but what kind of sort of debt pay down are you thinking that you're able to do for the rest of the year on a quarterly basis?
Tim Tevens: Okay. Greg, do you want to take that one?
Greg Rustowicz: Sure, so from what we have a perspective we would expect that by the end of year it is a source of cash to us we continue to work hard on the inventory side of things to get price or the products in inventory and match our inventory levels with our forecast. In terms of our goal on debt repayment, we do expect to exceed it. I don't think though that we can take the 16.8 and annualize that number. We will ne -- we expect to be greater than the $43 million and I think Joe we will have a better feel after this upcoming quarter. I would say though that we did have a $5 million pension contribution that took place in April which impacted cash flow this quarter.
Joe Mondillo: And actually if I could just sneak one last one in, in terms of SG&A cost, you came on the low-end of that 35 million to 36 million, do you anticipate that to potentially creep up or is it hard to tell at this point or how do you think about that sort of range?
Tim Tevens: Yes I think to be honest I think we're going to be within that 35 million to 36 million here on the low side this time. There's always puts and takes in terms of some onetime cost you incur and maybe some cost that you add but we're really trying the manage the cost structure so that we can deliver the operating income and yet not impact our long-term strategies that we have in investing in new product development and other such things. So, I didn’t think it's going to be in that range, it's about $1 million is about as fine as we can call it.
Operator: Thank you. We have no further questions in queue at this time. I would like to turn the conference back to management for closing remarks.
Tim Tevens: Thank you. Let me summarize by saying driving profitable growth in the down market is our target. The combination of Magnetek and Columbus McKinnon is helping us create smart technology that will allow more productive and safer lifting systems for our customers. Our digital platform Compass is the beginning of leveraging technology to help our customers design lifting systems and reduce work in our mutual operating environments. We will continue to develop new products and leverage new market opportunities to help drive growth. One consistent strength of the company is to generate free cash flow regardless of the cycle and when we use this cash to delever our balance sheet. I'd like to take this time to thank all of the Columbus McKinnon associates around the world for their dedication to excellence in making our company a stronger market leading organization. Without them and their significant efforts none of this could be accomplished. We appreciate all of your time today. Have a good day. Thank you.
Operator: Thank you. Ladies and gentlemen this does conclude today's teleconference. You may disconnect your lines at this time and thank you for your participation.